Operator: Greetings, and welcome to the Cutera, Inc. Third Quarter 2012 Earnings Conference Call. [Operator Instructions] A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, John Mills of ICR. Thank you. Mr. Mills, you may begin.
John Mills: By now, everyone should have access to the third quarter 2012 earnings release, which went out today at approximately 4:00 p.m. Eastern Time. The release is available on the Investor Relations portion of Cutera's website at cutera.com, and with its Form 8-K filed today with the SEC and available on its website at sec.gov. Before we begin, we would like to remind everyone that these prepared remarks contain forward-looking statements, including statements concerning financial guidance on future revenue growth, expense levels, gross and net margins and results of cost improvement initiatives. Expectations for increasing revenue, the development, commercialization and revenue growth potential of existing and planned new products, including our recently launched truSculpt product. Also management may make additional forward-looking statements in response to your questions. These forward-looking statements do not guarantee future performance, and therefore you should not rely on them in making an investment decision without considering the risks associated with such statements. Cutera also cautions you to not place undue reliance on forward-looking statements, which speak only as of the date they were made. Cutera undertakes no obligation to update publicly any forward-looking statements to reflect new information, events or circumstances after the date they were made or to reflect the occurrence of unanticipated events. For a complete list of risk factors that could cause Cutera's actual results to differ materially from the forward-looking statements, please refer to the section entitled Risk Factors in the company's most recent 10-Q filed on November 5, 2012 with the SEC. I would like to point out that all references to the current quarter relate to our third quarter of 2012 and all changes in financial performance are in comparison to the same quarter in the prior year, unless specified otherwise. With that, I'll turn the call over to the company's President and Chief Executive Officer, Mr. Kevin Connors. Go ahead, Kevin.
Kevin P. Connors: Thank you, John. Good afternoon, everyone, and thanks for joining us today to discuss Cutera's results for the third quarter ended September 30, 2012. On today's call, I'll provide an overview of our company performance, and then Ron Santilli, our CFO, will provide an overview of our financial results. Finally, I'll provide some closing comments and open the call to your questions. Our total revenue grew 28% with our domestic revenue increasing by 29% and international revenue growing to 26%. This is the sixth consecutive quarter of revenue growth in excess of 22% year-over-year. In addition, we are pleased with the sequential gross margin improvement achieved. The improvement reflects the leverage of our model and resulted in positive net income after excluding non-cash items. We believe the aesthetic systems market has continued to strengthen, and our global sales team is well positioned to continue to generate improved revenue growth for the coming quarters. Starting in mid-August, we commenced shipment of our truSculpt RF product. The truSculpt RF technology preferentially heats and destroys subcutaneous adipose tissue or fat cells without damaging overlying skin. In approximately 2 treatments, stubborn areas of fat are naturally eliminated to sculpt body contours with no downtime. This product received CE mark approval for fat reduction and body sculpting in January 2012 and has a 510(k) clearance for deep tissue heating in the treatment of cellulite. We are encouraged with the initial customer response to this product and believe that the market for non-invasive body contouring is very large and still in its infancy. As such, we expect our truSculpt product to become a significant contributor to our future revenue growth. Another significant contributor to our revenue growth this quarter was the strong demand for our Excel V product. The continuing process, trend and demand for our Excel V product is encouraging as it has been well received by key opinion leaders in dermatology and plastic surgery. Excel V is a high-energy dual wavelength technology that provides physicians the ability to treat a wide range of vascular and pigmented lesions on the body and the face. In addition, this premiere product is upgradeable to include non-ablative applications for wrinkles, uneven texture and diffuse redness. Another contributor to revenue growth this quarter was an increase in our service business, which resulted primarily from our acquisition in February 2012. We have expanded our North American sales team from 26 territories 1 year ago to 35 territories today. 9 of these U.S. territories are now dedicated to the podiatry market and the focus on sales of our GenesisPlus. We will continue to monitor the size and productivity of our sales force, and we'll expand our sales force as performance metrics support it. Turning to research and development. We are excited to have Michael Karavitis, who joined our management team during the third quarter. He has a wealth of technical knowledge, breadth of relevant experience and the drive necessary to lead our research and development team. He holds a PhD from the University of California, Irvine in chemical and materials physics. He has multiple patents and is the author of several publications in the field, ranging from laser science to biotechnology. In addition, he brings to Cutera an in-depth knowledge of the ultrafast laser technology. Prior to joining Cutera, Michael led a team of engineers and scientists at various successful early- to mid-stage companies, including LenSx, acquired by Alcon; Newport Corporation; and Intralase Corporation, which was acquired by Advanced Medical Optics. We have many projects in our R&D pipeline. We look forward to expanding our portfolio of innovative product offerings. We commenced shipment of our truSculpt product, and we'll continue to develop additional clinical applications and look to expand our regulatory indications as we see truSculpt as a flexible technology platform. Finally, our board approved a stock repurchase plan. We plan to repurchase up to $10 million of our common stock through open market purchases, pursuant to a 10b5-1 trading plan. Now I'd like to turn the call to Ron to discuss our financials in more detail.
Ronald J. Santilli: Thanks, Kevin, and thanks to all of you for joining us today on our third quarter 2012 conference call. I would like to remind everyone that all references to the current quarter relates to our third quarter of 2012, and all changes in financial performance are in comparison to the same quarter in the prior year, unless otherwise specified. Our revenue grew by 28% to $19.4 million. Net loss was $892,000 or $0.06 per diluted share. Adjusting for the non-cash stock-based compensation, depreciation and amortization expenses of $1.2 million, we had net income of $335,000 or $0.02 per diluted share. Product revenue increased by 34% and was primarily driven by increased sales of our truSculpt product, Excel V, into core specialties and cross-selling opportunities into the Iridex aesthetic business installed base. Approximately 34% of our North American product orders came from core specialties, and 26% came from the podiatry specialty. Outside of the U.S. and Canada, we sell primarily to core physicians. Service revenue increased by $1.1 million to $4.3 million. The primary reason for this growth was generated -- was revenue generated from the Iridex aesthetic business acquired in February of this year. We expect future quarterly service revenue to be in the range of $4.3 million to $4.5 million. Fillers and cosmeceuticals revenue was derived from sales of Obagi and Merz distributed products in Japan. Revenue from this product category increased by 4% to $1.4 million and was primarily driven by an increase in the number of customers purchasing such products from us, as well as expansion of the product lines being distributed. We remain excited about these product offerings, which allows us not only to generate incremental revenue but also helps us to penetrate our laser business into an expanded customer base. From a geographical perspective, our U.S. revenue growth was due primarily to the recent expansion of our sales force and the introduction of the truSculpt product. Our international revenue growth this quarter was sourced primarily from France, Japan and many of the distributor countries in our Asia-Pacific region. Now I'd like to address our third quarter 2012 operating performance. Our gross margin was 55%, which is a 190 basis points increase over the previous quarter. This improvement was due primarily to the mid-quarter launch of our truSculpt product and other cost improvement initiatives. We remain focused on improving our gross margins and have several initiatives that are currently in progress. Sales and marketing expenses were $7 million or 36% of revenue compared to $6.4 million or 42% of revenue in the third quarter of 2011. This increase in spending was attributable to higher personnel costs associated with the expansion of our U.S. sales force and higher commissions due to the increased revenue. Our expense ratio improved due to the leverage in our model. We target sales and marketing expenses to be in the range of 35% to 40% of revenue. Research and development expenses declined by $135,000 to $2.2 million due to reduced prototype material expenses, resulting from the timing of product development activities. We remain committed to investing in R&D and launching new products in the future and expect quarterly spending to be in the range of $2 million to $2.5 million per quarter. General and administrative expenses increased by $165,000 to $2.5 million. As a percent of revenue, G&A expenses declined from 15% in Q3 '11 to 13% in the third quarter of 2012. As a result of the increase in revenue, we expect G&A expenses to be approximately $2.6 million per quarter in the future for modeling purposes. Interest and other income net increased to $152,000 from $91,000 in the third quarter of 2011. This increase was primarily attributable to a shift in foreign exchange gains and losses from the loss in third quarter of 2011 to a gain in the third quarter of 2012. Income tax provision. Our tax provision is primarily attributable to international taxes related to our foreign subsidiaries and small amounts of minimum and capital base taxes in the U.S. As a reminder, we continue to maintain a 100% valuation allowance for our U.S. deferred tax assets. In the third quarter of 2012, we reported a tax benefit of $64,000. This resulted primarily from foreign taxes, offset by $102,000 tax benefit net gains on our investment portfolio recorded in other comprehensive line. Going forward, for modeling purposes, we suggest using an effective income tax expense of approximately $75,000 per quarter. Turning to the balance sheet. Net accounts receivable at the end of third quarter of 2012 was $7.9 million, and our DSOs were 37 days. We have not changed our credit practices and policies and expect our DSOs to return to our recent historic levels. Inventories at September 30, 2012 were $12.5 million, which represents a $245,000 reduction from $12.7 million at June 30, 2012. Our inventories are turning approximately 3x per year. Our financial position remains strong. We ended this quarter with $81.2 million in cash, marketable securities and long-term investments with no debt. This represents over $5.80 per outstanding share. Our cash used in operations for the quarter was $267,000. Included in this use was a $1.6 million increase in our accounts receivable balance. Excluding this, our operations would have generated in excess of $1 million of cash. Now that I've concluded my overview of Cutera's financial performance, I'll turn the call back to Kevin.
Kevin P. Connors: Thanks, Ron. In concluding, we are encouraged with the 28% revenue growth, and I believe our industry is growing. Opportunities exist for us to further improve our results. With the recent launch of truSculpt for body contouring market and our premiere Excel V platform, we are poised to continue our growth. We improved our gross margin as well as our operating margins and achieved a positive net income with the exclusion of non-cash items. Further, we are near breakeven in cash flow. These operating metrics reflect the strength and leverage of our business model as the revenue continues to grow in the fourth quarter, which is typically seasonally our strongest quarter of the year. We expect to be able to generate positive net income and cash flow in the quarter. I would like to thank our employees and our partners around the world for their commitment and dedication. We are diligent in our efforts to improve shareholder value and are focused to improve our position in the marketplace and enhance shareholder value. Now I'd like to open up the call for your questions. Operator?
Operator: [Operator Instructions] Our first question is coming from the line of Mr. Tom Gunderson with Piper Jaffray.
Thomas J. Gunderson - Piper Jaffray Companies, Research Division: So, Ron, I'll start with you. Just a couple of quick ones. Should -- for the medical device tax next year, should we assume about 40% of your revenues are going to be subject to them?
Ronald J. Santilli: No, it would be slightly less than that because it would be only the product revenue in the U.S. So the service associated revenue and accessories would not be associated to that. So it's about 2.3% of our U.S. product revenue, and I'm estimating about 1% of overall revenue or between $0.75 million and $1 million a year.
Thomas J. Gunderson - Piper Jaffray Companies, Research Division: Got it. And then AR is up, therefore days outstanding are up. You said the days outstanding would go down again. Can you tell us a little bit, is there a slow pair, a slow country? What happened with the $1.6 million? Or was it just the 90-day cut off, and they've paid already?
Ronald J. Santilli: It was really mostly a cut-off issue, Tom, because since September 30, we've had an unusually high amount of cash collections, and our -- we've increased our cash balances accordingly. So we expect the AR to return to the historical DSO levels in the future.
Thomas J. Gunderson - Piper Jaffray Companies, Research Division: Okay. And then, Kevin, you talked about doing demos with the new truSculpt and, obviously, the press release said some of the revenue growth came from sales of truSculpt. I know it's only been a couple of months, but can you give us a sense of how it's going out there? Are a lot of docs trying these? And what kind of early conversion rate are you getting from trying to buying?
Kevin P. Connors: Well, we had a material amount of revenue come from truSculpt. And as we pointed out in the script, we didn't get active in the market until mid-September. The demo activity -- or mid-August, excuse me. The demo activity with this product is extremely strong. Our sales team is having great success in getting access to core physicians primarily, and the patient experience -- the feedback we're getting on that is very positive. But again, it's fairly early in terms of our commercial experience with it. So we're happy to have some material level of sales with a really relatively short exposure in the marketplace.
Thomas J. Gunderson - Piper Jaffray Companies, Research Division: Okay. And then last question for this round, at least, for me is organic growth. You mentioned service growth from Iridex and then last quarter, we kind of went through this hazy mix of what's really an Iridex sale and what's a historical Cutera sale when a customer who was originally Iridex. So with all of that in mind, what kind of percentage growth would you range us for as far as organic growth in the quarter?
Kevin P. Connors: Well, to your point -- the comment about the hazy description of quantifying product sales with Iridex is difficult for us because the installed base has candidates for our products, and we are seeing success with that. The one clearly defined part is the service revenue, and that's, as Ron mentioned, about $1 million a quarter. Aside from that, we really are benefiting from having a direct contact with that large installed base throughout the globe.
Operator: Our next question is coming from the line of Mr. Morris Ajzenman with Griffin Securities.
Zachary R. Ajzenman - Griffin Securities, Inc., Research Division: This is Zach Ajzenman in for Morris. Our first question really pertains to gross margins. We modeled it to be a little higher for the third quarter. Can you speak of if the launch of truSculpt had any effects on gross margins in the third quarter? And then, maybe just broadly speak about why margins were where they were in this quarter, and maybe a little color going forward into the fourth quarter?
Ronald J. Santilli: Yes. Sequentially, our gross margins had gone up from Q2 of 53% to 55% in the third quarter. So we did see a fairly substantial increase there in gross margin percentage, and that was largely driven by the truSculpt launch. And keep in mind that's on similar revenue dollars because we did about $19.6 million in Q2 and $19.4 million in Q3. So we're continuing to see many initiatives that are driving our gross margins higher, and we are anticipating that to go up even further as our revenue increases.
Zachary R. Ajzenman - Griffin Securities, Inc., Research Division: Okay. And just expanding a little further on Tom's question before, can you talk about adoption of truSculpt by region within the United States and then, maybe going a little further, company-wide trends for revenue within the U.S.?
Kevin P. Connors: So as we indicated, when we only had 6 weeks of around -- 6 weeks of the quarter to have any commercial experience, and typical of this market is the time from exposure demonstration until a sale is completed can be 90 days. So I think there's a -- we don't know enough at this point to answer that question. And certainly, by the end of this quarter, we'll have a much more commercial experience under our belt, and we'll be able to comment on it.
Ronald J. Santilli: And for the third quarter, truSculpt was only commercially sold in the U.S. We're just rolling that out internationally now.
Zachary R. Ajzenman - Griffin Securities, Inc., Research Division: Okay. And generally, from a company standpoint, can you speak of sales by region within the United States?
Kevin P. Connors: Not really, no.
Operator: The next question is coming from the line of Mr. Anthony Vendetti with the Maxim Group.
Anthony V. Vendetti - Maxim Group LLC, Research Division: I was wondering -- and if you could talk a little bit more about truSculpt? I know you said you're pleased with the results from the third quarter. Can you quantify number of systems sold or approximate percent of revenue? Or -- I know you don't normally break that out, but just maybe the systems sold or how many docs are already signed up to use it, any type of information on truSculpt would be very helpful. And then, if you could talk a little bit about your onychomycosis product.
Kevin P. Connors: Oh, what specifically about GenesisPlus?
Anthony V. Vendetti - Maxim Group LLC, Research Division: Just how that's trending...
Kevin P. Connors: We broke that out in Ron's presentation. So, Ron, you have that number again?
Ronald J. Santilli: On the order rate, we did talk about 26% of our North American orders were derived from podiatry marketplace.
Anthony V. Vendetti - Maxim Group LLC, Research Division: Okay. Order rate, okay. And then so any information on truSculpt or order rates, stuff like that?
Kevin P. Connors: Well, we don't break out product revenue granularity. But as I alluded to earlier, the fact that it was 6 weeks from the time that our sales people had this product to demonstrate, we were pleased to see how quickly these sales converted, and the demo activity product is -- we haven't had a product like this that has given us access to physicians that are interested in evaluating it for many years. So that has other benefits where once we're able to talk about truSculpt, we could also talk about the other products in our bag. Because getting access to these physicians is one of the challenging parts of the sales process. So we're pleased to have the performance we got from that. And we think that, as we enter this quarter, we're optimistic that these demos are -- a material number of those demos are going to convert into orders for us.
Ronald J. Santilli: Yes. Anthony, to further expand on the truSculpt, qualitatively, we're very pleased with that launch. But we just prefer not to get into specific numbers because we have such a wide array of products that if we begin to comment on units and revenue volume for each one of those, and it becomes a little bit unwieldy at times.
Anthony V. Vendetti - Maxim Group LLC, Research Division: No, I understand. I understand. Can you talk about how the sales process is? I mean, there's demo units and then there's the cost with that and then the consumable piece, how that works?
Kevin P. Connors: Right. Yes, but there is -- it affects our balance sheet to get this much demo out -- equipment out in the field. However, it seems to be an effective way of getting the prospects to evaluate the technology. We have an annuity based per use model, and it translates into approximately $200 per procedure. And we would expect that portion -- or that category revenue to really start to impact us as we get our installed base to grow. So next year, by the end of the year, I think that would be a material source of high gross margin recurring revenue.
Anthony V. Vendetti - Maxim Group LLC, Research Division: Okay. And then, Ron, just lastly on the breakout of the revenues between product upgrade, service and Titan refills?
Ronald J. Santilli: Yes. I believe it's in our press release, but I can go ahead and give that to you now. Yes, you -- the $19.4 million of revenue broken down by the product categories, is that what you're referring to?
Anthony V. Vendetti - Maxim Group LLC, Research Division: Yes, by actual dollars as opposed to just percentage. Do you have that?
Ronald J. Santilli: Sure, sure. It was $12 million for upgrades -- I mean, I'm sorry, $12 million for products, $0.5 million for upgrades, service was $4.3 million, Titan hand piece refills was $1.2 million and the dermal fillers and cosmoceuticals business was $1.4 million.
Operator: [Operator Instructions] Our next question is coming from the line of Mr. Larry Haimovitch with HMTC.
Larry Haimovitch - Haimovitch Medical Technology Consultants: What were the deciding factors or what were the issues that the Board -- could you share it all with us, the discussions at the Board level on how after seemingly a long time you're getting back into the market to buy your stock?
Kevin P. Connors: Well, we won't get into the content of the Board discussions but other than to say that every time we've had a feedback from an investor on this topic, I raise it to the Board. So it's been an ongoing discussion. The -- I think, from my perspective, that we are at the cash flow neutral and the stock is where it is. And it seems to me that it's prudent for our shareholders at this point to pursue this. But as I said, it's been an ongoing discussion and will continue to be an ongoing discussion as we get other feedback from existing investors.
Larry Haimovitch - Haimovitch Medical Technology Consultants: And the $10 million is not limited by any time duration, I'm assuming, based on what I saw in the press release?
Kevin P. Connors: This is -- structurally, we did like this last time. We have a 10b5-1, and so we want to have -- be sensitive to the optics of how we acquire stock is something we pay a lot of attention to and we want to make sure we're doing that all right, but we will have it in place and as the window opens this week, we'll get it going.
Larry Haimovitch - Haimovitch Medical Technology Consultants: And, Kevin, last question on the buyback. Did you or the Board give any consideration to doing a tender offer? Because given the relative -- relatively light trading volume of Cutera, although it certainly has gotten better, it would seem that you're going to be restricted to a modest amount of buyback in any given period. Did the Board think about, "Well, let's go out and do a $2 million tender to sort of kick this thing off," or was that not part of the discussions?
Kevin P. Connors: Well, we simply did it like this the last time, and it worked out well for us. So I think we're pleased with the ability that could offer us.
Larry Haimovitch - Haimovitch Medical Technology Consultants: Okay. One last question, and I'll jump back in queue. You -- I think you started demoing truSculpt, as I recall, at the end of August, somewhere around there?
Kevin P. Connors: Mid-August, in that timeframe.
Larry Haimovitch - Haimovitch Medical Technology Consultants: Okay. You -- I'm sure you noticed that Solta had perhaps a bit of a disappointment in Liposonix sales in their Q3. You think you guys had any impact on their business in Q3?
Kevin P. Connors: It's hard to tell. But oftentimes, physicians will defer on making a purchasing decision until they see what's about to be launched. And we certainly have encountered that with our products. So it's quite possible.
Operator: Our next question is coming from the line of Mr. Jack Ripstein [ph] with PCAP.
Unknown Analyst: Actually, I have 2. Just want to make sure I'm looking at the number right. But it looks like you guys probably had closer to $1 million from truSculpt. I know it was a short timeframe, but if you kind of count physicians offering the product and assume some pricing and kind of the upside you guys had to this quarter, so if you could talk about that a little bit? And then second, I heard some pretty specific guidance with respect to your OpEx. And then I thought I heard you say that you're going to be net income positive for Q4 and that would imply, if I'm doing the model correctly, that you would have another sort of north of 25% growth number revenue year-over-year in Q4. Is that correct, first of all, that we heard net income positive and cash flow positive for Q4?
Ronald J. Santilli: It certainly is our target to be cash flow positive and net income positive for the quarter. And we just finished 6 successful quarters of 22%-plus year-over-year revenue growth, and we're still seeing the market strong. So without giving any specific guidance for the fourth quarter, we certainly feel good going into it, and we're coming off of 6 strong quarters. In this past quarter, we were near cash flow breakeven, and even EPS was just a $0.06 loss less than $1 million. So we feel very good going into the fourth quarter with our truSculpt launch as well.
Kevin P. Connors: Jack, on the issue of the truSculpt volume, as we said earlier, we historically have not gotten into that level of detail. But we did comment that it was a material amount of our growth came from truSculpt and, again, I reiterate that that's only a half quarter so a bit of commercial exposure in the market, and we see this as a big market, and we think the feedback that we're getting from our customers is that patients are very positive on the procedure. Discomfort is not an issue. And we will see the full quarter of commercial focus this quarter. And as we said in the script, this is typically one of our -- it is our strongest quarter from a historic perspective.
Unknown Analyst: You mean the upcoming quarter, Q4?
Kevin P. Connors: Q4.
Unknown Analyst: Right. And then, just in terms of the way sales -- you have obviously 1 month now into the next quarter. What is the typical -- not typical, maybe that's not fair, but what would the cadence be of closing truSculpt deals would be back-end weighted, linear across the months, what are you starting to see?
Kevin P. Connors: Well, I think the industry, in general, excludes recurring revenue sources but focus on the capital equipment sales. It's historically been very much the hockey stick that you hear about. So we expect that to be the case here too. We expect December to be a strong -- the strongest month for us. And in terms of what that means for truSculpt, specifically, we look to see the benefit of all the demo activity we started in the third quarter, and we continue that going into this quarter.
Operator: Our next question is coming from the line of Mr. Anthony Vendetti from the Maxim Group.
Anthony V. Vendetti - Maxim Group LLC, Research Division: I just had a question on the acquisition of PSS worldwide, do you expect that to have any impact at all? Or you think it'll be business as usual?
Kevin P. Connors: We've reached out to them, and I think the dust still hasn't settled there. So we look forward to making the introductions to the appropriate people from McKesson and -- but I think it's been a good relationship and we'll continue to do everything we can on our front to extract more from that relationship.
Anthony V. Vendetti - Maxim Group LLC, Research Division: Approximately, what percentage of your sales originate from them?
Kevin P. Connors: It's changed over the years. Right now, we're probably 10% of our domestic, something like that.
Operator: There are no further questions at this time. I would like to turn the floor over to Kevin Connors for any closing comments.
Kevin P. Connors: Thank you for participating in our call today. We'll be attending a number of investor events in the coming months, and we'll update you on our business progress in the fourth quarter conference call in February 2013. Good afternoon, and thanks for your continued interest in Cutera.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you, all, very much for your participation, and have a wonderful afternoon.